Operator: Good day and welcome to The Dow Chemical Company's Fourth Quarter 2013 Earnings Results Conference Call. (Operator Instructions) We will allow one question and one follow-up question today. Today’s call is being recorded. I’d now like to turn the call over to Doug May, Vice President of Investor Relations. Please go ahead, sir.
Doug May: Thank you, Lauren. Good morning, everyone, and welcome. As usual, we’re making this call available to investors and the media via webcast. This call is the property of The Dow Chemical Company. Any redistribution, retransmission or rebroadcast of this call in any form without Dow's expressed written consent is strictly prohibited. On the call with me today are Andrew Liveris, Dow's Chairman and Chief Executive Officer; Bill Weideman; Executive Vice President and Chief Financial Officer; and Dale Winger, Associate Director, Investor Relations. This morning, January 29, our earnings release went out on Business Wire and was posted on the Internet on dow.com. We have prepared slides to supplement our comments in this conference call. These slides are posted on our website and through the link on our webcast. Some of our comments today include statements about our expectations for the future. Those expectations involve risks and uncertainties. We cannot guarantee the accuracy of any forecast or estimates and we don’t plan to update any forward-looking statements during the quarter. If you would like more information on the risks involved in forward-looking statements, please see our SEC filings. In addition, some of our comments reference non-GAAP financial measures. Reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release and on our website. Unless otherwise specified, all of our comparisons presented today will be on a year-over-year basis. EBITDA, EBITDA margins, and earnings comparisons exclude certain items. The agenda for today’s call is on Slide 3. I’ll now hand the call over to Andrew.
Andrew N. Liveris: Thank you, Doug and just turn to Slide 4. Thank you. One year-ago we outlined our proactive plans to improve return on capital, growth profitability and generate cash. We said we will take specific actions to release more value to you, our shareholders. And as you’ve noticed in prior quarters we’ve been steadfast in our execution throughout the year. Our fourth quarter and full year results reflect the cumulatively benefit of this focus as headlined in the quarter. Adjusted earnings per share we are up 97%. We achieved adjusted sales increases in all operating segments, excluding Feedstocks and Energy, with record performance in Agricultural Sciences, Coatings & Infrastructure and Performance Plastics. EBITDA grew 31% and we deliver a 300 basis point expansion in EBITDA margins led by Performance Plastics, Performance Materials and Coatings & Infrastructure solutions. And we drove a number of proactive portfolio and balance sheet focused actions that enabled us to exit 2013 with strength and momentum, which brings me to the full year. Adjusted earnings per share grew 31% and adjusted EBITDA rose $900 million, reaching $8.4 billion. Importantly, we delivered on our self-help actions and exceeded our goal to deliver $500 million of EBITDA through cost savings. Cash generation was a keynote for us this year. We ended 2013 with record level cash from operations with and without the benefit of the K-Dow award. And we use this cash as we said, we would to reduce debt, investment organic programs, and reward shareholders. Today net debt to EBITDA stands at 1.4 times, well below our 10-year average. And we delivered $1.8 billion to shareholders through share repurchases and declared dividends. In sum, our cash flow is at an all-time high. Our debt ratios are well below the historical company average and looking forward our Board has full confidence in our earnings capability and cash flow. Leading to today’s announcement of 15% dividend increase and an expansion of our share repurchase program to $4.5 billion with more than $4 billion yet available or to be executed in 2014. Fundamentally these results are a reflection of the strategy we embarked upon several years ago and specific actions we’ve taken and continue to take in line with that strategy. Repositioning our company to address the uncertainty, a new realities that are defining our world. Our Company is strong. We’ve a very focused and integrated portfolio, a rising and increasingly growing earnings profile and tremendous financial flexibility. Now let me turn the call over to Bill who will provide more detail on the fourth quarter and full year results.
William H. Weideman: Thank you Andrew. Turning to Slide 6, Dow reported earnings of $0.79 per share or $0.65 per share excluding certain item. Sales increased to $14.4 billion, up 3% or 4% on adjusted basis. This is primarily due to volume gains of 3% with increases across all operating segments, excluding Feedstock & Energy as well as our geographic areas excluding Europe, Middle East and Africa. Price also rose 1%. Adjusted EBITDA was $2.1 billion in the quarter, a 31% increase versus the same quarter last year. We had favorable certain items at $0.14 per share in the quarter with a gain in our sale of our Polypropylene Licensing & Catalysts business being the most notable. Now moving to Slide 7, where you see the key drivers of our results this quarter. As I mentioned earlier, demand was healthy in the quarter and buying activity remains steady throughout December. As a result, we were able to expand margins in a rising hydrocarbons environment, as well as grow volume in nearly all regions. Equity earnings grew year-over-year, driven by strengthening global ethylene fundamentals in Thailand -- in both our Thailand and Kuwait joint ventures, as well as improvements in Dow Corning. In the cost focus, we’ve been driving throughout the year, gained further traction in the fourth quarter. We surpassed our year-end target on plant shutdown, workforce reduction and discretionary spending, all of which enabled us to exceed our $500 million cost reduction target for the year. Now turning to our operating segments, starting on Slide 8. Electronic and Functional Materials, sales were up 3% with healthy gains in Asia Pacific and North America, which offset a 1% price decline. Continued demand in OLED materials and Interconnect Technologies used in mobile devices drove volume increases in electronic materials. Functional Materials delivered broad-based sales gains in all businesses and geographies led by a 9% increase in North America. Electronic and Functional Materials EBITDA was up $15 million versus prior year. Sales increased 10% in Coatings & Infrastructure solutions year-over-year. Dow Coating Materials delivered its fourth consecutive quarter of sales growth. Strong demand in Architectural Industrial Coating markets drove both price and volume gains in the quarter. Performance Monomers also delivered double-digit sales growth in all regions and businesses. Building Construction reported higher sales with volume increases in all geographic areas. Segment EBITDA increased $44 million, which represents a 34% increase versus the same quarter last year. Now turning to Agricultural Sciences, which reported a fourth quarter sales record of 1.8 billion, up 13% versus the same period last year. Sales gains were broad based across all geographies, led by double-digit growth in the Americas. Crop Protection rose 11% with new Crop Protection products increasing 23% and sales in Seeds, Traits and Oils were up 20%. Agricultural Sciences achieved record EBITDA in the quarter, up 13% versus the prior year. Performance Materials sales were up 1% versus the year-ago period. Sales growth in Dow Oil, Gas & Mining, Dow Automotive Systems and polyglycol, surfactants and fluids more than offset volume declines in epoxy where we continue to see challenging industry dynamics. Adjusted EBITDA increased 144 million or 450 basis points versus the same quarter last year, driven by expanded margins and ongoing productivity improvements. Sales in Performance Plastics were $3.9 billion, up 5% in the same quarter last year and up 8% excluding the impact of divestures. Double-digit sales gains were achieved in Latin America, Asia Pacific and North America. Dow Packaging and Specialty Plastics delivered increased sales in specialty packaging in the hygiene and medical markets. Dow Elastomers delivered record fourth quarter sales driven by increased demand in transportation, carton sealing and non-woven market sectors. Adjusted EBITDA was up 40% from the same period last year as broad-based pricing across all geographies more than offset the impact of higher propane costs in the U.S. In Feedstocks & Energy, sales were 2.4 billion down 6% versus the prior quarter. Volume was flat while price declined 6% driven by lower aromatic prices within hydrocarbons. Now turning to Slide 11. At the beginning of the year, we outlined a clear path to accelerate our cost reductions and cash flow actions. As Andrew mentioned earlier, we have remained focused on prioritizing our growth spending, further reducing spending in our low ROC businesses, it actively managed our portfolio all with the goal to increase shareholder value. And our actions have delivered strong results. We generated 7.8 billion of cash from operations in 2013. We've reduced gross debt by 3 billion and interest expense is down nearly 170 million versus last year. Our net debt to total cap declined to 30% and our net debt to EBITDA declined 1.4 billion, well below the company's historical average. Going forward, the cash generation from our embedded catalysts and divestiture targets position us very well to execute against our cash priorities. Before I turn it back over to Andrew, let me walk you through our key financial assumptions for 2014. While there are signs of improving economic conditions, our business plans assume that for 2014, macroeconomic environment remain largely unchanged. As Sadara approaches start-up, our share of operating costs which will be recorded in equity earnings will increase approximately 50 million to 100 million. And we expect to an additional $150 million to $200 million benefit from our previously announced cost reduction actions. Due to the increase in discount rates, our pension expense will decline approximately $300 million this year. And capital expenditures will increase between 3.3 billion and 3.5 billion as we accelerate actions to enhance our feedstock advantage from our U.S. Gulf Coast investments. From a tax perspective, we anticipate our tax rate will remain in the 25% to 29% range. And finally, you should expect our share count to decline as we accelerate our share repurchase. Now let me talk a little bit about the first quarter. We expect to see a normal seasonal uptick in Agricultural Sciences. As farmers made purchases for the upcoming northern hemisphere plain season. And we anticipate good market fundamentals to continue in Performance Plastics with healthy levels of demand supporting price increases and strong earnings. However, with the recent run up in hydrocarbon cost driven by the cold weather, we expect overall hydrocarbon energy cost will rise approximately $250 million to $300 million, sequentially which will put pressure on margins in both Performance Plastics and Performance Materials. Finally, we expect plan turnaround spending to be up approximately $80 million, sequentially. Now, let me turn it back over to Andrew.
Andrew N. Liveris: Thank you, Bill. If you turn to Slide 14, one year ago when we provided you with our report out of 2012, we committed that we will proactively take decisive self-help actions to protect our growth plan and accelerate near-term value in a slow growth world. And that is exactly what you saw from us in 2013. Collectively, our actions led to strong performance in 2013; substantial earnings growth with top line gains, margin expansion and improving return on capital in key segments. Record level cash flow above and beyond the infusion of cash we received from the K-Dow arbitration outcome. All of which enabled us to further pay down debt, fund highly accretive growth investments and return increasing value to our shareholders. Turning to Slide 15 and as you know, over the last several years, we have pursued a consistent strategy endorsed and continually monitored by our Board. Transforming from a commodity chemicals and plastics producer of specification products into an integrated low cost and value-add producer of agricultural materials and plastics products with patent protection and high value to end users, all with the goal to deliver higher and more consistent earnings. In line with this strategy we have taken a number of consistent and aggressive actions since 2006 both in the upstream low cost assets and the downstream value-add businesses to reshape and position our company for consistent long-term earnings growth. We rebuilt our innovation pipeline. We accelerated the establishment of our portfolio towards downstream high margin businesses. We strengthened the unique benefit of integration within our key value chains. We drove down our cost structure and further tightened our capital allocation criteria in a slow growth world. And critically, we reduced our commodity footprint with an end game to fundamentally exit all commodity merchant sales not because these were bad for the businesses, only because the returns in these businesses were challenged by global competition, especially from state-owned entities and national oil companies. Throughout this process and with deliberate and strategic moves and full transparency, we have regularly checkpointed with our board tracking our milestones and continually examining strategic options throughout the volatile landscape that includes the world's largest global economic crisis and a subsequent lackluster recovery. This transparency, this accountability demonstrates our commitment to continually challenge all aspects of our operations and execute portfolio moves to upgrade our earnings profile to become more consistent and less exposed to commodity cycles in our industry. This led us to the seminal decision we announced in December, exiting a value chain that has been part of Dow's history since the company's inception more than 100 years ago. We decided we would take on the complex task of exiting commodity chlorine products and focus on our downstream value-add businesses. We determined we would do so carefully to avoid negative synergies and redirect the funds we released for high value uses in the growth portfolio of the company. The fact that we have announced carve-out and our pursuing transaction options for our chlorine value chain is clear evidence that when it comes to creating shareholder value, everything is on table. And we are constantly examining options how to create maximum value for our shareholders without creating significant friction costs or sacrificing Dow's long-term growth potential. If you turn to Slide 16, as a result of these strategic actions we have completely re-crafted our portfolio demonstrating by the significant remake of both our revenue and geographic mix, as well as the overall quality of our mid-cycle margins. After the divestments of chorine or related commodities, we in essence have taken a $49 billion commodity-driven enterprise circa 2006, shrunk it by divesting $14 billion to $15 billion of commodities, some of which are in motion, then grew it with $18 billion of value-added products, all in less than a decade. This does not even take into account the joint ventures we have formed, particularly in our commodity chains. So this re-crafting did not happen overnight and it is testament to the fact that we have not and will not shy away from aggressive options to exit accomplished portions of our portfolio where and when it provides the best value creating option for our shareholders. Exiting commodity products that Dow has been in for decades such as styrenics and polypropylene or joint venturing where that was the better option such as in Ethylene glycols is proof point of our wiliness to do that. In fact the portfolio decisions we’ve made these last many years have been driven by our commitment to increase return on capital, and have been grounded by a comprehensive analysis of the markets we serve and our competitive position in these value chains from low cost inputs in feedstocks to technology advantage products in the end use. In short, we understand where value is created and what needs to be done to upgrade our earnings. Turning to Slide 17, today the vast majority of our portfolio resides in high margin; high growth sectors and we are further capitalizing on our attractive and industry leading positions in these less cyclical sectors. Further our integrated value chain is aligned directly to these markets with a unique intersection of competitive cost positions, market leadership and technology differentiation enables us to win. Our unrelenting focus on growth markets and our leadership in those markets it is this combination that makes us unique. We have the scale, the low cost feedstocks and the differentiated technology to succeed across the value chains. We are not a petrochemical company that takes oil and gas and makes first derivative commodities and sells those into a merchant market. We don’t try to compete with the integrated oil and gas petrochemical producers. We buy hydrocarbons or joint venture with national oil companies and then we add value to these feedstocks with technology to make them patent protected into the end use products. Our unrelenting focus on growth markets and our ability to win in those markets as a differentiated provider of low cost and technology advantage products are the strategic parameters that drive our portfolio decisions. Importantly we are being clear, consistent and transparent regarding our commitments and actions in optimizing our portfolio to release new value. With the majority of our integrated portfolio aligned to growth sectors today we are focusing our resources and investment decisions on these high return sectors and we have actions underway for each of our segments. Actions designed to increase margins and deliver near term earnings growth. So turning to Slide 18 and going through those sectors. Electronics and Functional Materials, Dow AgroSciences and Performance Plastics are high return businesses aligned to attractive high growth markets where our science capabilities are rewarded in the market place. And here we will continue to invest for strategic growth. In Electronics and Functional Materials we expect to see growth in the back of our industry leading position and our robust innovation pipeline. We expect to grow above market by working closely with our customers to leverage our advantage technologies enabling next generation products such lighter, brighter and more efficient electronics, healthier foods and more effective pharmaceuticals. Dow’s unique set of chemistries such as in polyurethanes and other polymers are a source of differentiation this is smaller standalone competitors and as our portfolio continues to shift to higher growth sectors we expect to increase margins 100 to 150 basis points over the next several years. In agricultural sciences our differentiated technology positions us well in this $100 billion growth market to continue to outperform the industry with top line growth and expand margins with the commercialization of our powerful R&D pipeline. In our Crop Protection business, the ramp-up of our high margin new product sales which grew 14% in 2013 will contribute to segment margin expansion and in our $1.6 billion Seeds, Traits and Oils franchise, farmer demand for solutions that maximize yield and productivity is driving faster than industry sales growth leading to scale efficiencies and improve segment margins. Our innovation pipeline is rich with products that would deliver continuous growth such as our Enlist Weed Control System which combines the technologies next to peaks of both our Crop Protections and Seeds businesses and recently accomplished an important next step in the USDA review process. This product launch more than any other shows the power of synergy between chemistry and biology unique to Dow AgroSciences being part of a chemical company. In fact as we commercialize our road to Dow AgroSciences pipeline we expect to expand margins 300 to 400 basis points in the near term en-route to doubling the value of this franchise again of the next five to seven years. Turning to Performance Plastics, we have reshaped this portfolio extensively by exiting commodity value chains such as styrenics, polypropylene and polycarbonate and alarming also the attractive high growth market sectors that’s value technology driven solutions such as packaging, transportation and telecom communications using our unique resins. For example in our packaging business we are collaborating throughout the value chain to deliver innovative high performing materials such as more convenient, functional and sustainable packaging. Our belief to deliver consistently strong returns based on this market driven participation strategy is clearly illustrated by the businesses superior return on capital performance over the cycle which is well above industry averages. Coupling our brand owner engagement with our low cost integration advantage and strategic investments on the U.S. Gulf Coast and our Sadara joint venture we are well positioned to further strengthen our position in the value chain delivering higher and more consistent returns. Turning to slide 19, we also have businesses where I have been very clear that the return on capital has not met our expectations, and yet these businesses have strong underlying competitive advantages and are aligned to markets where gradual improvement is underway such as in construction and transportation. Through targeted cost and portfolio actions these sectors would deliver significant margin improvement in the near term. Casing point, our Coatings and Infrastructure solutions segment, here we are utilizing self help actions, strategic investments and targeted innovation to reposition the segment for growth. We are focusing our attention on resources on projects with strong near term payback potential investing in the water market and investing and driving differentiation in coatings where our portfolio improves hiding properties, stain resistance and wash ability. These new products are getting traction as construction dynamics begin to demonstrates signs of improvement and our PDH in integration investment to reduce raw material costs is another example of low cost feedstocks adding value through a downstream differentiation. When coupled with our cost actions and improved asset utilization we see margin expansion of more than 300 basis points in the near term. Turning to Performance Materials where we are driving similar cost discipline actions and raw material improvements in addition to an aggressive portfolio management strategy. In the near term our announced cost actions would drive operational efficiencies and our PDH and Sadara investments will also benefit this segment. Collectively these actions will expand margins by approximately 400 basis points over the next several years. Aligned to our long-term strategic priorities we are moving out of the commoditizing portions of the pouring value chain such as chlorinated organics and epoxy resins both part of performance materials and focusing on the high value parts of this segment such as Automotive, Energy, Food and Pharma and finally the feedstocks and energy where the strategy is simple. Optimize our assets to ensure maximum profitability and provide advantage feedstocks for our downstream businesses. Turning to Slide 20, all of these actions are driven by our strategy and our perseverance to build a portfolio that is not only resilient but it’s positioned to deliver sustainable high margin growth and therefore we continually reshape and reexamine selecting into attractive high growth markets where our technology differentiation is rewarded both simultaneously exiting commoditizing value chains that are no longer aligned with our long-term strategic priorities such as our announcement to exit a significant portion of the coin value chain. We maximize the value of our investments through prioritizing high return integration projects that bolster our upstream competitive advantage and drive further differentiation of our downstream businesses through our innovation pipeline and we drive a strict focus on operational and financial productivity selectively allocating our capital and expense dollars while driving operational excellence to improve cash flow. Underpinning all of these actions is our strict focus on return on capital. You have seen us be proactive and decisive in our actions over these last 12 months resulting in an improvement of 150 basis points in one year in our return on capital. Going forward, we will continue to explore all strategic options to further advance our agenda of delivering sustainable high margin growth. On Slide 21, you can see our earnings trajectory, where with the ongoing execution of our strategic agenda and our capital management strategy we have a number of earnings catalysts in flight and 2014 will be an important inflection year in our growth strategy. On Slide 22, a combination of self-help measures, strategic integration and growth projects will total more than $3 billion of EBITDA in the near-term. These alone bring us to the more than $10 billion of EBITDA target. In addition to these lower pension costs, high operating rate leverage due to GDP improvement and any upside in the ethylene cycle plus a strict focus on driving productivity will move us to the next level of earnings power. Let me be clear. 2014 will be a capital-intensive year for Dow, a key bridge year as we reach critical milestones in our key growth projects, particularly those on the U.S. Gulf Coast and at Sadara. However, our teams are steadfast in their commitment to deliver on schedule and on budget enabling us to unlock significant shareholder value once these highly accretive projects come on line. We expect 2014 to be a year of strong operating cash flow and we will deploy a great deal of this cash to fund our higher CapEx build due to the U.S. Gulf Coast projects in particular. Turning to Slide 23, but for overall uses of cash, I want to be very clear. We know our priorities. Our actions over these last many quarters have enabled us to reach debt levels well below the company's historical average. Therefore, moving forward, you should expect we will focus our cash on the organic growth projects I have previously discussed which will enable us to deliver higher margin growth in our segments. And with these Dow-specific catalysts fully in place to create step-change improvement on EBITDA and record cash flow from operations, we are now in a position to increasingly reward our shareholders as witnessed by today's announcement to increase the dividend to 15% and an expansion of our share repurchase program to $4.5 billion with more than $4 billion yet available or to be deployed this year. This is a clear illustration of our unwavering commitment to shareholder remunerations that will continue even after these announcements. So, going through the agenda on Slide 24, I want to turn it to priorities for 2014 on Slide 25 where you can expect the same diligence and focus. We will maintain our operational discipline and strong cash flow, drive productivity gains to build on our cost savings momentum, continually refine our portfolio aligned to our targeted market strategy and continually focus our portfolio by growing the high margin value chains and pruning from the bottom using ROC as the lens. Dow is a world-class company. Our enterprise is 117 years strong because the women and men of Dow have unique expertise of running complex value chains. This collective rich experience provides the insights for which to draw to identify and drive the most attractive shareholder friendly actions. Our management team regularly engages with all of our owners, whether recent owners or long-term holders so as to understand their views and see if there are better ideas out there. We run a complex, highly integrated enterprise and we believe we know how to exit the low return, highly volatile businesses while funding our growth. We share with our owners one owners' one goal, to maximize value through all of these levers. We are confident that our financial discipline, cost savings actions and active portfolio management position us well to deliver against our commitments for long-term success and continues an ongoing shareholder remuneration. We are exiting commodity businesses for value, we are deploying funds to grow our integrated value chains and we will increasingly remunerate our shareholders. With that, Doug, let's turn over to Q&A.
Doug May: Thank you, Andrew. Now we'll move to your questions. First, however, I would like to remind you about my comments earlier regarding forward-looking statements and non-GAAP financial measures. They apply to both our prepared remarks and the following Q&A. Lauren, would you please explain the Q&A process.
Operator: Thank you, sir. (Operator Instructions). We'll take our first question from Hassan Ahmed with Alembic Global.
Hassan Ahmed: Good morning, Andrew.
Andrew N. Liveris: Good morning, Hassan.
Hassan Ahmed: Obviously extreme volatility in terms of NGL prices. What is your view about sort of these recent spikes we've seen in propane, in ethylene in particular?
Andrew N. Liveris: Yes, and welcome to the polar vortex, I guess, Hassan. We're in the middle of it here in the middle of Michigan, I can tell you that. So weather driven. This is obviously going through its spike. This is a very, very odd winter in extremities and I think this has caused a few of these fractionation facilities, extraction facilities to shutdown and curtail supply of NGLs and at the same time demand is peaking because of the cold weather. We believe that this will be a spike that will subside. And based on the huge oversupply of NGLs that is coming on, this will be an oversupply year in NGLs. So we consider it transitory. And Bill said in his modeling point, it will create some pressure in the first quarter but we've got all that cost levers in place, so we're going to blow right through it.
Hassan Ahmed: Fair enough. On a separate note, Andrew, you obviously talked about some of the growth levers that are out there and also with that is Sadara, the PDH facility and the like. Could you comment a bit on whether they're on schedule, on budget and like?
Andrew N. Liveris: On schedule, on budget and we – I just was in Saudi Arabia like week and we've had exceptional reviews. As you know with Sadara, I'm honing in on Sadara because that's the one that's here now. It's roughly 35%, 40% compete in terms of construction. It's a site to behold, Hassan, and we've got an investor meeting in March. We invite everyone to come that can make it through Doug May. He'll get that organized. Saudi Aramco and Dow are going to host a visit to this site and we're going to show you 40,000 people on that site growing to a peak of 60,000. So to be on budget, on schedule is a phenomenal achievement. We're very proud of them and their safety record in particular as well as of course their financial record so far. A complex project that will begin operations next year is going to result in that year being the year that we'll start seeing positive. We'll have headwind this year as Bill said, but we'll have tailwinds next year out of the earnings stream of that project. And the ethylene envelope is one of the first envelopes that will start up there, which is powerful (indiscernible) was nicely for the cycle that we anticipate to begin next year. U.S. Gulf Coast, you were up to speed. The PDH is the lead unit there. Of course incremental expenditures of St. Charles up and running, doing great, overachieving. LA-3 in Plaquemine. We're going to add another $250 million of incremental EBITDA. That will be on stream in 2015, PDH on stream in 2015. The big second wave which is the big (indiscernible) cracker is still slated for 2017.
Operator: Our next question comes from David Begleiter with Deutsche Bank.
David Begleiter: Thank you. Good morning.
Andrew N. Liveris: Hi, David.
David Begleiter: Andrew, one of your newest investors is arguing that you're Pet Chem businesses are under earning due to your focus on your downstream business resulting some poor efficiencies. How do you respond to those critiques?
Andrew N. Liveris: Well, in the earnings script as you heard me talk through who we are and we're not, it's really easy to talk about Pet Chem and Specialty Chem and commodity Chem, but we at Dow look at value chains and we look at ethane to ethylene to polyethylene resins of the solution resin kind that provide high end users for packaging and elastomers and automotive and wiring, cable and telecommunications. We're a complete value chain. We're number one across the chain. It is obviously impossible to think of Dow as a petrochemical company anymore because we've exited over $10 billion of commodities. Lots of the K-Dow scope is now sold. We've actually done the divestment of what might have been called a Pet Chem business, the traditional commodity businesses. The results speak for themselves in our strategy. Our value chain between NGLs, ethylene, our specific high value plastic resins, these are high value. There's only one other competitor out there with these high value resins and they're a big oil company and they love their business as much as we do. No one else can mimic this Dow business. And so it's a (indiscernible) to start talking about Pet Chem. We think the performance is great. We agree, by the way, with that statement from that investor that there's upside. We are going to release all the upside by the investments we're doing like the one that Hassan asked about, plus we're building up our innovation engine. More than half the profits are coming out of that chain come from innovation not from low cost beat stocks. So there's a lot of clarity that I think that letter speaks to that we need to provide and we'll do that.
David Begleiter: Just lastly, Performance Materials strong in Q4, how much of that is sustainable into 2014?
Andrew N. Liveris: So the polar vortex to one side in this big spike that we’re all seeing as an aberration hopefully not repeatable, Q1 is going to be a bit challenged. But look, I said in this group that there is a lot of cost focus and productivity focus. Joe Harlan and his team are right on it. We are taking down costs, we’re growing the growers, we’re seeing good demand in things like polyglycols surfactants for example that was mentioned on the call and we’re doing great in Polyurethanes again, because we’re taking out costs and we are starting to see expanded margins. There is a beginning of tailwinds. Tailwinds of the economy, we don’t talk much about that. But the quarter have showed some tailwinds, especially in the U.S., that is helping Polyurethanes in particular and there is some better price momentum as a result. We are very confident that that will have a good year, this year, on top of the good finish to the year last year.
Operator: Our next question comes from John Roberts with UBS. Mr. Roberts, your line is open.
John Roberts: Good morning. Can you hear me now?
Andrew N. Liveris: Hi, John.
John Roberts: Dow has a number of commodity JVs that are largely merchant sales. Are those due to the hedge or should we view them like the consolidated strategy of exiting commodity merchant sales over time?
Andrew N. Liveris: More the latter, John, because they’re joint ventures, they’re definitely a more complex as a result. We exit them, some of them at a time in a place when we were a commodity petrochemical company to the previous question. We are no longer a commodity petrochemical company and as a consequence of that you could consider -- we love these assets; they’re making great financial returns, particularly now of the commodity cycle, but they’re volatile. And the volatility in our earnings over time is something that as you know we’re trying to shed because we’ve higher ROC uses especially in the 100% oil and plastics business, I just described in the previous question. So we’re going to continue to run those to optimize value, maximize value. We obviously have to work with our partners, so we -- across those chains, we have great partners from Siam Cement to the Kuwait partners to the Argentinean partners. But over time you can consider that we will look at those as options. As I said earlier today, we looked at over 35 options to release value at this Company. Our Board finalized the strategy review late fall. You’ve seen our announcements in December. You can expect more. We’ve got lots of outside advisors who have advised us on this. You can expect us to do more of these next 12 to 18 months than what we’ve announced.
John Roberts: And as a follow-up, how much of the Performance Plastic segment now has advantage feedstock and how much of it is still linked to a NAFTA supply chain?
Andrew N. Liveris: Well, the number I prefer to give you is once the Texas cracker is up and running that will be about greater than 70% will be advantaged and that’s a global number.
Operator: Our next question comes from Robert Koort with Goldman Sachs.
Robert Koort: Thanks very much. Just want to clarify one item with Bill. I think you said Sadara would hit you for 50 to 100, but your equity earnings will be flat. Should we imply then there is some uptick cyclically in polyethylene, ethylene dichloride etcetera that gets offset by the Sadara call?
William H. Weideman: Rob yes, exactly. So we believe we will continue to see improving equity earnings in those other companies including Dow, Dow Corning. So overall for 2014 we expect our equity earnings to remain in a $1 billion level at a company level.
Robert Koort: And Andrew, I pick you address the margin situation in Performance Materials, what has to happen to finally see a little volume improvement? It seems like some of those end markets you serve are growing, so why haven’t we seen any traction at the volume line?
Andrew N. Liveris: Yes, I mean, look the demand picture, remember these are very consumer exposed Rob and so the demand picture and things like furniture and bedding and even the strong rebound of automotive, that’s only a small percent of the Polyurethanes in the U.S for us. These are rigid Polyurethanes that go to automotive. We are mostly in the flex and it has historically been a great position for us, but it's very consumer led and that’s not stopped consumers from buying for the reasons you know and so that that’s a big chunk of Poly Performance Materials today. Now as we do the investments in Sadara, we do the investments in PDH, we draw down low on the cost-curve, we don’t need price to expand margin. But it would be nice to have price at this consumer led demand, which is what I said we started to see in the quarter, it's going to make it for a better year to your -- the earlier question. But we train the PU part of that group and especially chemical part which is doing great. It offsets the other down drop within that group, which is epoxy. Epoxy as we now said for three earnings calls is the problem child. We are solving for it the way we’ve announced. But the PU side is beginning its rebound and it doesn’t have to be just be a cost out strategy, it could be a demand led price increase strategy as the economy rebounds especially in flex polyols.
Operator: Our next question comes from Jeff Zekauskas with JPMorgan.
Jeff Zekauskas: Hi, good morning. Normally what happens with performance materials, and even with performance plastics in the fourth quarter, is that there’s often some seasonal margin weakness but this year was really pretty different in that your performance materials were call it up a little bit more than $100 million from your core operations and your performance plastics and EBITDA were up maybe $250 million. Can you talk about what actually happened sequentially to really lift those returns so sharply and why this year was different from previous years?
Andrew N. Liveris: The two things very simply Jeff that we actually answered now, the quarter was a stunning quarter, not because it was a surprise to us. Because the cost reductions throughout the year took hold across those value chains especially in performance materials and the beginning of tailwinds of demand especially our performance materials. Performance plastics has been running pretty snug, our performance plastics has been really growing pretty snug all year but that had terrible margins in Europe and Asia because of all the weak demand that’s in those two continent. The U.S. business has been doing great, but the beginning of price movements in those businesses as the entire industry, we had price up 7% year-on-year in the quarter and performance plastics up 3% over Q3. That’s a big indicator of answering your question of demand growth, demand growth beyond the U.S.
Jeff Zekauskas: And then lastly your CapEx for 2014 I think you’ve said is $3.3 billion to $3.5 billion; is that an unusual bump up or with the many new capacity additions that you have coming on over the next several years, are we now in a $3 billion to $3.5 billion range?
William H. Weideman: Jeff, this is Bill. That’s very much in line with what we had indicated earlier. We have mentioned to you that our Gulf Coast projects is roughly $4 billion right over three to four years. So we have said that our CapEx spending would increase roughly $1 billion per year. So if you take this year where we ended up at $2.3 billion if I recall add $1 billion and you’re in that $3.3 billion to $3.5 billion. So now very much in line with our expectation, and then we’ll kind of stay at that level for a couple of years and then it will drop off -- it will start to drop off after the PDH unit and then further obviously after the cracker; but very much in line with our previous input.
Operator: Our next question comes from Kevin Mckarty with Bank of America.
Kevin Mckarty: Yes, good morning.
Andrew N. Liveris: Hi, Kevin.
Kevin Mckarty: Andrew, Dow AgroSciences continues to perform well. You indicated margin ramp potential of 300 to 400 basis points there and potential to double the value over five to seven years. Would you consider separating that business if you became convinced that Dow could be remunerated for that future growth potential in today's market?
Andrew N. Liveris: Yeah, so thanks Kevin for the question; exactly the numbers I used on the call and something that I have been asked about for the better part of seven or eight years. And so there is a consistency to the notion that a biology driven business with a higher multiple that’s more biotech indicated could have a different valuation than the Dow, some of the parts valuation. Our data doesn’t suggest that for our business right now because it's mostly a chemistry driven business, crop protection is by far the biggest part of Dow AgroSciences. So there’s a couple of our competitors out there that are more look alikes to us, BSF, [Bayer] [ph] are more chemistry driven businesses. We do have as you know a substantial investment in biology, but its chemistry related biology. So in essence and this is a great example that the weed control system we’ve obviously talked a lot about. So there’s a lot of leverage that’s going on between Dow’s chemistry expertise where we have world class capabilities as a company and what Dow AgroSciences actually launches. In fact most of their launches over these last several years have been in Ag chemicals and crop protection not in just new seeds and traits. Obviously by growing smart stacks and growing in list, as Dow starts to create new value in seeds, traits and oils and the breakeven year for that is next year 2015. And we believe once seeds, traits and oils gets to a breakeven year then we could start to look at seeds, traits and oils a little more standalone than its relationship to Ag chemicals but I want you to think about it, Dow AgroSciences two businesses; one very linked down, one linked to the other business there was on chemistry, but its biology and chemistry intersections that we exploit into AgroSciences. We will look at all options of – with better off or always apply and I've used it on the call, I've used it in every earnings call I've ever had, I've used it in every shareholder direction. If someone comes up and gives an offer we can't refuse, we will definitely look at it.
Kevin Mckarty: Thank you very much.
Operator: Our next question comes from Peter Butler with Glen Hill Investments.
Peter Butler: Good morning.
Andrew N. Liveris: Good morning, Peter.
Peter Butler: How have the economic and government related uncertainties impacted your prior view on the ethylene supply outlook? And what are the prospects now for a ramp up in the cycle? And related to that, when do you see the liquid-based ethylene around the world getting into the shortage zone?
Andrew N. Liveris: Thank you, Peter, for your questions. We believe that the economic recovery although not great in the last several years has kept the view towards the cycle of being in the '14, '15, '16 timeframe. We've pushed out that late '14 into the '15 because of weak demand, especially out of China. You mentioned the liquids base. The Southeast Asia and Asia and crackers have been under incredible pressure as of the Europeans and the consequence of that has meant that demand has been weakened. They've been under margin pressure and the only thing that's going to save them of course is price increases because they can't do much on the cost side. We believe the U.S. will lead this cycle. We're seeing signs of traction now. We're getting up into the high 80s. We feel this year will be around 89, maybe as much as 90% for the entire industry operating rate. That's a global number. And as a consequence of that, I think you're going to see maximum operating rates for these next several years. And so the liquids cracker should stat expanding margins next year.
Peter Butler: Does Dow have a leg on how a possible 2015, 2016 ethylene peak might compare to previous peaks? For instance, it looks like in this cycle uniquely you could have a situation where product prices go up a lot, but the raw material costs actually go down.
Andrew N. Liveris: Yes. That's the U.S. advantage. I mean there's no question, Shell has brought a complete different view to profitability in this peak cycle in ethylene-related products not just plastics but also ethylene glycol. Our plastics business that way we've configured it is as I said, half of the profits are coming from value-add downstream, half are coming from the upstream integration. The path that's going to go up of course in a very big way in the cycle is the upstream ethylene margins. We believe that our plastics business will go north or $5 billion of EBITDA in the next year or so as a result of what we could see based on your question because of low NGLs in the U.S. super cycle like the late '80s.
Operator: Our next question comes from Vincent Andrews with Morgan Stanley.
Vincent Andrews: Thanks very much. Just two quick ones. First, in the quarter was there any material benefit from the Evangeline pipeline being down?
Andrew N. Liveris: No. We have our own pipeline and storage capacity. We're in good shape. Obviously we're tracking that, but no to answer you quickly.
Vincent Andrews: Okay. Thank you. And then as a follow-up or separately, on Enlist in – I know in the U.S. you have DuPont licensed it, Monsanto licensed it but down in Brazil, how do you plan on commercializing Enlist soybeans and I guess what do you think the first stack will be? Are you going to stack it with Roundup Ready 2 or how is that going to work?
Andrew N. Liveris: Well, I mean we have obviously our Enlist soybeans license with DuPont which is global and we believe that's particularly valuable in Latin America where chem does not enjoy the same registrations and widespread uses as 24D. So that's going to be one way to monetize to your point on Latin America. We also really believe that as a consequence of that, Enlist will have a great pick in the Latin America market. It's our first year in soybeans in Argentina. We entered Brazil just two years ago. As you know, we have a strong corn position ourselves in Latin America. So between our license and the DuPont and of course what we're doing with our own backup penetration, we believe that it will occur in a very quick timeframe in Latin America and partly as a stack.
Operator: Our next question comes from P.J. Juvekar with Citigroup.
P.J. Juvekar: Hi. Good morning, Andrew. In the U.S. you had a lot of propane in your crackers because you need propylene for the specialties. And as you know, propane crack is lower than ethylene crack, so how much of your crack today is propane versus ethylene? And at least in the near term before PDH starts, what can you do to improve that?
Andrew N. Liveris: As you know, we have some of the best flex crackers in the business, EP cracker wise. We're doing 30% propane about now. As you know we're running the crackers for cash. We actually can flex speeds within an hour, that's how fast we can do it. We can do a little more. We've got some projects there and the biggest one you've heard us announce is the propane to ethane flex for LA-3. LA-3 in Louisiana is a naphtha [ph] cracker, liquids cracker, so that's a big project that will start up next year. We are being doing our incremental ones, I mean the very incremental ones but the 30%, 35% technical minimum is what we need to run at for our downstream products.
P.J. Juvekar: Okay. Thank you. And secondly, with all this talk about commodities and specialties which has been going on for years, so when you look at your strategy, many times in some chains you start it in the intermediate because historically Dow did not want to compete with these customers. And so you ended up with lot of intermediates. So is there a change in strategy on how you want to go downstream further and/or maybe stop there and get rid of those businesses with two options. Can you just talk about that?
Andrew N. Liveris: Very targeted question, P.J., and obviously shows your longevity in the industry. So when we did Roman Haas, one of the key parameters that we used is we'll never be a company that competes with our customers. We have to be the very best technology provider to people who we consider our customers have touched the consumers. So coatings is a great example where we could take that one step forward into high value emotions and use our building blocks, as you talked about whether they'll be butanol or whether they be acrylic acid which we didn't have a lot of until we acquired Roman Haas and then go that one step but not be a paint company. And so that's where we stopped. We know how customers prefer our high technology. Obviously we'd like to do more exclusive with key customers on key product launches like, for example, the Vulcan [ph] using the coatings example. Electronic materials was a great end use market fit from Roman Haas that actually had a R&D synergy with polyurethane chemistry to help make better slurry pads, for example, but then we got a lot of other technologies we could lever into electronic materials that we had in our other businesses. Our water business, the un-exchanged resin business that Roman Haas had completely complemented our reversal osmosis business and the two together have created a powerful water business but we're not a water provider. So we are an ingredient and technology and component provider and that's our strategy and that's why Roman Haas was such a terrific fit for us in terms of technology and application. And that's what you should think about we're doing here. We're not trying to be a consumer company. We are trying to be the best functional technology provider using our low cost building blocks, our integrated value chain but stopping short of being the company that provides a consumer.
Doug May: Lauren, it may be time for one more question.
Operator: We'll go next to Frank Mitsch with Wells Fargo Securities.
Andrew N. Liveris: Hi, Frank.
Frank Mitsch: Well, the pressure is really on, Andrew, but first I wanted to start out; obviously a great end to the year but more importantly congratulations on the Order of Australia award.
Andrew N. Liveris: Thank you.
Frank Mitsch: It's always nice to see a chemical guy do well. Some discussion this morning on raw materials, but you also described healthy demand particularly in the plastics area, so I was wondering about the pace of pricing to offset this big spike, polar vortex driven spike and how fast do you think you can realize some offsets on the pricing side? And then as has been talked about before, record earnings in plastics in this quarter, can you give us a sense as to what percent of the earnings came from outside the U.S. in the plastics area this past quarter?
Andrew N. Liveris: The second one, I'll get the guys to quickly look up. I don't have it at the top of my head but certainly let me talk about demand, the finish of the quarter and then of the year and the way we saw the demand leading to some recovery of the polar vortex led cost increases. As we said we had a $0.07 increase for Plastics in December and we have a $0.04 announced for February Bill?
William H. Weideman: I think so.
Andrew N. Liveris: Yes, so this is a two that hopefully on the plastic side based in good demand will help overcome. Performance Materials might have a lot more pitch and so we’re going to have to be very aggressive on the cost side there, but -- we got aggressive moves go along the price, but whether they stick on -- based on demand, based on how I answered the earlier question. But you should think about it as condition neutral for gross of January and February and with demand picking up maybe we will get some margin expansion in plastics. In terms of how we feel about the way the dynamics around the world are, you should think about the profit for the quarter in plastics, 70%, 80% coming from the United States and Canada.
Frank Mitsch: Okay, great. That’s very helpful. And you’re setting a high expectation for these conference calls in terms of breaking news with the dividend and the share buyback this time. But the last quarter conference call obviously was the chlorine carve-out. Where do we stand on that? What is the interest level been like? What is your current thoughts there?
Andrew N. Liveris: Interest level has been terrific. We have -- we’re marching down the products. You know we got a prepared pro forma financial. That’s not easy thing to do for something as integrated as chlorine. We’ve retained outside advisors for the transactions. We believe that we’re on our track. We’d like to complete them on the earlier part of the 12 to 24 months timeframe we talked about, but we will stay with that for now. We have an internal organization, we have this column CEOs announce for the businesses and we’ve lots of interest and I would basically like to bridge to your earlier observation about the calls and what we announced in the last call, what we announced in this call. That dividend increase and that share buyback maybe a little lost in the (indiscernible) all things we’ve been talking about. That is a significant statement from our Board, from a series of actions we’ve been taking through our strategic review process. That shows you our financial flexibility and our cash flow that we generated in the last year and the cash flow we believe will be generated in this next many years. It’s a statement of confidence and it’s a statement of belief that we’re undervalued and that we’re going to be releasing a lot of value in these next many, many quarters and I’m not going to promise you a breaking news every quarter Frank, but I’m going to say you can expect the drum beat of actions from Dow to liberate cash and reward our shareholders. And that expansion of the share buyback program is very attractive to shareholders proactively manages dilution and frankly will hopefully enable in a conversion to our preferred as we get the [up swirl] [ph] for our earnings. Liberating earnings of the balance sheet, being shareholder friendly and of course getting out of low ROC commodity businesses and I guess Frank you’ve served as a way of a wrap up here. Thank you for that question.
Doug May: Yes, fantastic. Thank you everyone for your questions and for joining us today. We appreciate your interest in Dow. For your reference, a copy of the prepared comments will be posted on Dow’s website later today. This concludes our call for today. We look forward to speaking with you again soon. Thank you.
Operator: This concludes today’s conference. Thank you for your participation.